Fredrik Dalborg: Good morning, everyone, and welcome to the AddLife Fourth Quarter Presentation. This morning, we will take you through the highlights of the quarter and then, of course, open up for a Q&A session. After that Q&A, we do encourage you to stay on because we have recorded a wonderful video of one of our companies, this time, Biolin, a manufacturer of advanced research instruments. So now let's go. I'm very pleased to note that the AddLife companies were able to wrap up 2025 in a good way. We saw continued profit improvement. We saw strong profit and strong cash flow. On the EBITA margin account, we saw that Labtech were able to protect the very high level at 14.1%, EBITA margin, same as we had in the strong fourth quarter of last year. And on the Medtech side, it improved to 12% compared to 11.6% in the corresponding quarter of last year. Overall, we saw healthy customer demand in our markets. But of course, currency effects impacted our sales growth, but the currency adjusted sales increased by 2% in the quarter. We are working diligently with profit improvement initiatives, and this is one of the core parts of our business model. We have seen for many quarters now a continuous improvement, and we do expect that to continue in the future as well. In the U.K., we have had a long-standing dialogue with a key partner in the area of endoscopy. They have chosen to go direct, and we have supported them in that, handing over the team and the resources related to that business, and we have received a consideration of SEK 158 million in the quarter. So this, in combination with the strong cash flow that we saw has helped us to achieve a net debt-to-EBITDA of 2.2. So this -- with this, we achieved our goal of remaining at 3 or below, and we have actually far exceeded the ambition as well. So very pleased with that. So now I hand over to Christina, who will take us through the details of the quarterly financials. Welcome, Christina.
Christina Rubenhag: Thank you, Fredrik. We had a stable growth in the quarter after a very strong fourth quarter last year. Organic and acquired revenue growth was 2%, while adjusted EBITA growth was 5%. In the quarter, we had negative effect from currencies. And looking at revenue, it was minus 5%, and the EBITA was impacted with minus 7%. We have 2 financial targets within AddLife. One is to improve profit with 15% year-over-year. On the long term, this is supposed to come approx half from acquired and half from organic growth. Looking at 2025, organic growth was 10% and acquired growth contributed with additional 2%. Then we had FX impacts in the quarter. So total EBITA growth for 2025 was 8%. So including currencies, sales growth was minus 3% in the quarter with organic and acquired growth of 1%, respectively. We had stronger gross margin. This is due to price management, also increased prices in new tenders and the product mix where we are moving towards more advanced high-margin products. We had higher OpEx in the quarter as well, driven by growth investments and also some specific projects. The adjusted EBITA margin was up to 12.4% in the quarter compared to 12.3% last year. Also, lower interest costs continue to have a positive impact on the profit and loss. And then adding divested operations, profit before tax increased with 129%. EBITA margin is clearly in a positive trend. Looking back to 2023, we were at 10.5%, increasing to 11.3% and now we end 2025 on 12.1%. Looking at the fourth quarter, Labtech margin remained at a high level of 14.1%, same as last year, while Medtech increased to 12% from 11.6%. Full year EBITA margin has also increased for both business areas. They are approximately at the same level now. Labtech, 12.5% and Medtech is on 12.4%. An increasing EBITA margin has been a focus area throughout the last 3 years, and that remains a top priority moving into 2026. Operating cash flow is normally high in the fourth quarter, and this year was not an exception. We delivered almost SEK 900 million in the quarter and for the full year, it was SEK 1.4 billion. Also cash conversion remains high at 111%. Excluding sales of operation, it was at a high 98%. And to be above 100%, that is a little bit too high. So going forward, probably in the range of 95% is more realistic. And of course, focus on working capital efficiency remains a priority also in 2026. Working capital contributed with SEK 426 million in the quarter. And here, we had lower inventory. We had strong collection of accounts receivables and also account payable was higher. Looking at inventory towards sales, we were at 16% throughout 2025, slightly better compared to '24 that was 17%. Acquisitions in the quarter relate to Pharmacold and Opitek. Net debt was reduced with almost SEK 800 million in the quarter. With majority of the loans in euros, here, we had a positive impact from currencies. But the main reason for the net debt to be reduced in the quarter was due to repayment of loans and increase of cash. When we talk about net debt, we include in addition to bank loans and deducting cash, lease liabilities, contingent consideration, pension liabilities and provisions. Net debt in 2025 decreased with almost SEK 900 million. And at the end of the year, leverage were at 2.2, which is clearly below the target of 3 or below that we set up for ourselves. Net debt towards adjusted EBITA was 2.5. The second financial target for AddLife is to have a profit over working cap of above 45%. 2025 ended at 62% compared to 51% last year. And debt has been reduced via self-generated cash flow. And entering into 2026, we now have a balance sheet that supports both organic and acquired growth. And with that, I hand over to Fredrik again.
Fredrik Dalborg: Well, thank you, Christina, for that thorough review, and now we will get into the business areas summaries. So starting with Labtech. As you may remember, Q4 of 2024 was a very strong quarter for Labtech. And this quarter, we saw currency adjusted revenues declined a little bit by 3%. We're really pleased to note that the EBITA margin were maintained in spite of that slight drop in revenue. So we are still at 14.1%, same as the corresponding quarter last year. So that's very healthy. We saw a little bit less instrument sales in this quarter compared to last year. And in that last year quarter, we had a very high level of instruments being delivered linked to various tenders that we won. In the market in general, there has been some hesitation with academic market sales. We saw that this quarter also, but slightly better, I would say. We also saw a little bit of caution in the pharma industry segment. In the third quarter of this year, we were really pleased to note a very healthy development in Central and Eastern Europe, and we saw that continue into Q4. So that helped a lot, wrapping up the quarter for Labtech in a very healthy way. Moving on to Medtech then. We saw growth, excluding currency effects at 4% and acquired growth was 1%. EBITA margin improved to 12% from 11.6% in the corresponding quarter. Capital sales in the U.K. have been weak for some time now, as many of you have noted. We were really pleased to see that, that actually improved in the fourth quarter. So that's great news. As I mentioned earlier, we have an agreement with a supplier to hand over the endoscopy business in U.K. and receive the consideration for that. Elective surgery in general in the European market tended to be relatively flat. The patients list weren't really shrinking. And on top of that, we also had strikes in U.K. as well as in Spain during the month of December. So number of surgical procedures was relatively low. But anyways, a good growth in the Medtech business and also helped by a healthy development in Homecare, which we think will continue going forward. We talk a lot about improving margins, and that is indeed a key activity for us, actually what we have chosen to prioritize the highest. So what are we actually doing? We are working on margin improvement initiatives in the eye surgery business, we are strengthening the margins in Homecare. We are working with specific initiatives in the companies where we see further improvement potential. And then on a more general level, we are always driving gradual and continuous performance improvement programs across all companies. This is a key piece of our business model. We are also pruning our product portfolio, removing products that are less profitable and adding new and advanced high-margin products. We are also increasing the share of own products. And of course, the acquisitions we make are focused on higher-margin segments and are expected to contribute to this positive development in terms of margin. And we do these activities, we drive them, of course, starting with our fantastic companies within the group. They are all led by strong and empowered leadership teams, and they have a very nice entrepreneurial spirit that we like to see. So they are very strong in this continuous work to improve margins. They are also supported by a group of experienced business unit leaders. We are also leveraging the activities we have within AddLife Academy and a strong group of business controllers. And on top of that, the companies together with the business unit leaders work on an acquisition agenda improving margins over time. So with this, we have a lot of activities ongoing. We have seen a lot of good results, and we do expect those results to continue. I also want to highlight our unmatched European coverage. This is something that we have been working on for quite some time, creating a pan-European footprint. So of course, our origins in the Nordics are strong, but we are very strong in Western Europe, Central and Eastern Europe as well as Southern Europe. This is important for us because it gives access to a very large market. It gives us more supplier opportunities. We are also able to choose from a broader range of acquisition targets, which is quite powerful because we can be selective and really choose the acquisition targets that are attractive in many ways, including healthy multiples. So -- and I also want to move forward to acquisitions now. Again, acquisitions are again becoming a very important growth driver for us. And in the month of December, we were very pleased to welcome 2 new companies to the AddLife family, starting with Pharmacold, which is a specialized in highly customized refrigeration technologies as well as services for the pharma industry and for the health care sectors. Together with Holm & Halby's customer base and regulatory know-how, we see great potential for these highly customized products and to grow that business even further. So a very nice and healthy acquisition here, relatively small, but with great potential. Another acquisition that we concluded in the month of December is a Danish manufacturer specializing in patient positioning products that address both staff ergonomics as well as the patient safety. We have worked with this company for many years. We know the products well, and they are really well renowned in the market. This business will become part of Mediplast and very much in line with the strategy that we have to increase the share of our own products. So a nice addition to the business and very much in line with the strategies that we have laid out. So very happy to also welcome Opitek to the AddLife family. So to summarize the quarter, we are very pleased to note that the margin improvements, they do continue in the fourth quarter as well as for the full year, of course. And we are working diligently on these efforts, and we do expect further potential to improve the margins going forward. Of course, currency effect impacted revenues, but organic and acquired growth were positive compared with a strong Q4 in 2024. We're very pleased with the fact that net debt-to-EBITDA is now at 2.2. So this means that our ambition to reduce it below 3 has been achieved and exceeded. With this, we have strengthened the balance sheet, and this enables us to really pick up the pace with acquisitions again, which we did already in December, and we expect a lot of activity going forward. So I can really say that we look forward with confidence and enthusiasm to a strong 2026. Thank you very much. And with that, we open up for Q&A.
Fredrik Dalborg: All right. So thank you for listening into the presentation. And now we are ready for questions. And I think we see a few of you having raised the hands already. So [ Philip ] maybe you can start and don't forget to unmute.
Unknown Analyst: I hope you can hear me now.
Fredrik Dalborg: Yes.
Christina Rubenhag: I can.
Unknown Analyst: Starting on the U.K. market recovery, positive to hear that you're seeing some early signs there. Could you elaborate a bit on the momentum you're seeing entering '26 and what you're seeing throughout the coming year here?
Fredrik Dalborg: Yes, of course. Thank you. Good question. So as you may remember, we have seen for really the whole year a bit of a hesitation in primarily capital spending and capital investments in the U.K. market. And we're pleased to note that in the fourth quarter, that actually started to improve again. So that's a healthy. Sign. Looking at the general trend in the U.K. market, there was a little bit of a, I would say, subdued surgical procedures because of flu and also strikes and whatnot. But capital really did pick up. So we're pleased to note that. So that's a good sign also for the future. We can also note that as we have stated before, the NHS has become more and more clear in their vision for the future, where after the election immediately was relatively big. It's become more and more focused and clear what they are planning to do and in January, we have seen further statements talking about robotic surgery, talking about AI, talking about gene sequencing, things that we, as a group, are quite engaged in. So I think these are all positive signs. I hope that's an answer to your question, [ Philip ].
Unknown Analyst: Yes, of course. Good. And while we're on the notion of U.K. and also perhaps Spain, the strikes in December, early December, is it possible to quantify that impact or give any indication of how large that impact was?
Fredrik Dalborg: A little bit tricky, but I think we should look at it as a few days of lost surgical procedures. So a few days of lost sales in U.K. as well as in Spain.
Unknown Analyst: Sure. Makes sense. And then perhaps finally for me, and then I'll get back into the queue. You talked about an improvement in home care market, which is positive, of course. How sort of -- what's your visibility on it? And how sustainable is it? Is it throughout the year? Or is it a few months or...
Fredrik Dalborg: Well, I think we're starting to see signs of improvement, but we still have work to do. I mean it's still an area where we think there is further growth and margin improvement potential. So there are a few things that are going on here. We have a few initiatives that have been worked on with -- in terms of product launches and so on that are now starting to show signs of really picking up the pace. So that's exciting that a lot of that is on the technology side. On top of that, we have also seen in multiple countries, a healthy trend in terms of construction. So some new care homes and so on that are being built or being planned to be built. So I think the outlook is in general in that market is improving. And our internal initiatives are also starting to show signs of results. So more work to do, but some positive direction there, I think we can see. All right. Thank you for good questions. So I think we have Ulrik here.
Ulrik Trattner: Yes, hopefully, you can hear me, all right.
Fredrik Dalborg: Yes, we can. Yes.
Ulrik Trattner: A few questions on my end. You commented on a slightly softer Labtech market, especially in Denmark and a bit of caution from the pharma companies. Is that something that you see broad-based and something you potentially could elaborate a little bit about?
Fredrik Dalborg: Well, not super broad-based. I think it's quite primarily a Denmark thing where we see a little bit of hesitation just very recently. We're not super worried about it. I think there is a healthy underlying market and growth there. So I think in 2026, that should pick up again is our expectation. So nothing dramatic there. But looking at our numbers, Denmark came down a little bit on the sales side, partly currency, but also a little bit of a slower activity. But again, we do think it's temporary.
Ulrik Trattner: And just general on the market conditions because I remember like 1 year ago, we did see a trend shift in tender activity. You entered into a few higher-margin tenders, and that looks to have continued throughout '25. So can you just give us sort of the state of the sort of tender market where we're at versus what we entered into '25?
Fredrik Dalborg: I think we're -- we have seen the impact of these tenders. There were quite a few in fairly short period of time that we were successful in winning and those instruments were installed -- a lot of it were installed back in Q4 in 2024. So that was a bit of a peak on the instrument sales there. Of course, we have been benefiting from those sales related to the instruments that were installed. So the consumable sales have been supporting us throughout the year and will continue to do so going forward. Tender activity in general, I think it's normal, I would say, activity ongoing for sure, but sometimes there's a little bit more sometimes there's a little bit less quarter-to-quarter. But then overall, no trend shift really, I would say. I hope that's answer your question.
Ulrik Trattner: Yes, yes, absolutely. That's perfect. And you sound optimistic about continuous margin improvements. And you guys have spoken before that there is improvements to be done in Homecare. And you've done a lot of tail cutting on the Medtech side generally throughout '25. Have you seen the full effects of the tail cutting? And are you done on that end where you feel -- obviously, there's some natural tail cutting going on, I guess, in your business, but majority of it is done in '25. And second question would be then the follow-up if you have enjoyed sort of the full effects on the margin side from those cutting out lower-margin products?
Fredrik Dalborg: There were a few bigger measures taken during the year, you're correct. So we've seen that playing out nicely. So -- but the evolution of the product portfolio, it continues. And so there, I'm sure that we will be looking at portfolios and taking out less interesting products. For sure, we are adding a lot of new things. So I think the -- over all of 2025, we've increased our activity in terms of business development, finding new suppliers. And that has generated a number of new products being brought into the portfolio. Some of them have started to sell, but sometimes it takes time, especially if it's a novel technology and these activities and increased resource, both in the larger companies, but also using our network to support the smaller companies evolution of the portfolio. So I think more to come in terms of continuous addition of advanced products for sure.
Ulrik Trattner: Great. And last question on my end before getting back into the queue. Can you say anything about the margin profile of the divested endoscopy business, if it was on par with rest of Medtech or roughly where they were at?
Fredrik Dalborg: Yes. It was a healthy margin business for sure compared to the Healthcare 21 other product line. So good margin business. All right. Thanks, Ulrik. So now we move forward, so we have Albin here, right? Are you ready for us? Albin, are you ready for us?
Daniel Albin: All right. I think I will stay on the margin side here. We've never seen such high gross margin in Q4. And of course, you're working with it, focusing on it. But is this just like the new focus? Or is it some timing effects as well? And how should we think about the gross margin heading into '26?
Fredrik Dalborg: Yes. I think. Do you want to comment on that, Christina? Or is it something...
Christina Rubenhag: There's no one-offs into it. No, it's more the result, I think, of the continuous work that has been done during the last 3 years.
Fredrik Dalborg: So nothing dramatic disturbing the comparison, I would say. I think it's -- like Christina said, something we have prioritized and something that we're working on and something that every company is contributing to.
Daniel Albin: All right. That's good to hear. And then on the M&A pipeline, you're now down at 2.2x net debt-to-EBITDA impressively. So can you give us an update on the pipeline? And how do you find the competition and pricing in the market currently?
Fredrik Dalborg: Yes. No, I think we're very pleased that we have reached a really good level on the net debt-to-EBITDA. So we can put these concerns about balance sheet behind us. That's nice. We have been expecting this and preparing for it, right? So we have over the last almost 2 years, been gradually gearing up the activity and resource that are focusing on acquisitions. So the business unit leaders are driving their respective agendas for what type of acquisitions they want to make, and they are supported by a strong team of transaction specialists here in -- at the head office. So this pipeline looks healthy. We have a number of discussions ongoing, and we have a pretty clear plan of what we expect to do in the coming quarters. So I think we are optimistic about it. And then, of course, we are picky. We do stick to our criteria. We are picky about valuation and so on. And since we have a quite long list of attractive targets and we can search all over Europe, as we mentioned earlier, we will be picky when it comes to quality of company and the valuation as well. But I think it looks good. So we're excited about it.
Daniel Albin: That's clear. And then looking at net sales per country, I just noticed that rest of the world is now down at SEK 2 million. Maybe I missed something here, but what does that stem from? And is that part of the plan?
Fredrik Dalborg: Rest of the world, I think that's primarily China, Australia, U.S. to some extent, yes. So it's coming down a little bit. Well, I think we're clearly seeing some of our companies that are selling into the U.S. market, primarily research, certainly feel a change in behavior there. But it's -- on a group level, it doesn't really move the needle. But for those companies, it's obvious. And now let's move forward to Jakob. Let's see. I think he's still on mute, right?
Jakob Lembke: Can you hear me?
Fredrik Dalborg: Yes, we can hear you.
Jakob Lembke: My first question is on the Medtech EBITA margin. Just to understand -- or looking at the U.K. on the sales, it seems that the U.K. actually grew in the quarter but you still say that the profitability is down from the U.K. [indiscernible].
Fredrik Dalborg: Well, I think if we look at the U.K. for the whole year, it's been negative, unfortunately, in the first 3 quarters. But now it improved significantly in the fourth quarter. So we're pleased about that. And it was driven to a large extent by more capital sales. So that's exciting. So the question there on the profitability, I think that we received a question earlier that asked about business that we're discontinuing and whether that was a high or low-margin business, I would say it's a good margin business in line with what we normally see in the U.K. market. So that's how we would look at it. Is that -- was that the question you asked?
Jakob Lembke: Yes, not really. I mean, if I recall correctly, you had quite good sales to the U.K. a year ago. And now you were able to grow that earnings contribution from the U.K. in this quarter as well despite the sort of negative impact from flus and worse operating days and so on.
Fredrik Dalborg: Yes. I think the conclusion is that a number of surgical procedures hasn't really grown. It's been a little bit challenged by flu and strikes and whatnot. But it's been holding up, so to speak. And then on top of that, we've seen a marked pickup when it comes to capital. So that's good. I mean it's been a bit of a challenge, a decline over the past few quarters, but now it's changed direction. So that's a positive.
Jakob Lembke: Okay. Then just if we look forward, last year, I think Q1 was clearly the strongest quarter in terms of EBITA margin for Medtech. Is that still what we should expect in 2026? I know there's a sort of U.K. budget effect in Q1.
Fredrik Dalborg: Yes. I think we don't want to really make any projections or forecasts or outlooks for coming quarters. But normally, we do see Q1, the final year of the fiscal year for NHS is normally strong. Of course, the discontinued business, there might be in previous years, some sales related to that, that will not happen in Q1. But other sales will. So that's to keep in mind. But apart from that, I don't want to give any real outlook for the coming quarters. But of course, we -- in general, we are -- we think many parts of our business is really picking up the pace, and there's a lot of stability in other parts. So I think overall, we're very optimistic about the future.
Jakob Lembke: And just a short follow-up. The divested business, is that more capital or consumables?
Fredrik Dalborg: Mix. Capital and consumables and service.
Jakob Lembke: Okay. And then just a final question, sort of a follow-on on the M&A pipeline. If you can talk a bit about sort of what type of companies you have in the pipeline and also the size, if -- it's more smaller companies or larger ones?
Fredrik Dalborg: Well, yes, I think we have a good mix in the pipeline. We're actively in active dialogues with a few and then analyzing a number of others and so on. So it looks pretty healthy. We are sticking to our criteria, which means that the company should be below EUR 50 million in turnover and the sweet spot is probably lower than that, say, EUR 10 million to EUR 30 million, somewhere in that neighborhood, EUR 10 million to EUR 30 million of turnover. And they should also be in areas that we understand and then we have a good knowledge base to assess the companies. We love the entrepreneurial ones, of course, prefer to buy companies from entrepreneurial owners. So we're sticking to the plan here. And of course, what we can look at the previous acquisitions, I think Edge and BonsaiLab are excellent examples of acquisitions we like to see. The ones we made in December are also great additions, but they are a little bit on the small side. So a little bit -- little bigger than that, but certainly not the very big ones of 2021 and 2022.
Christina Rubenhag: And of course, an EBITA margin contributing to the growth as well.
Fredrik Dalborg: Yes. Of course. So I hope that gives some clarity, but hopefully, we will be able to communicate more about that in the not-too-distant future. And now we have Mattias. I think, he's on mute.
Mattias Häggblom: I had only a few left. So -- but I'm going to try and push you a bit more on the M&A side. So you state in the report you will be fully able to execute your growth plan for both organic and acquisition-driven growth. So is it possible to give us maybe a number or range in terms of your aspiration for '26, if not at least compare with the contribution from M&A in 2025, which added 1%, so which is obviously below -- it's a more towards the right direction. But should we think about a 5% to 7% contribution? Or what -- obviously, dependent on deals and signatures, but your aspiration would be interesting to hear.
Fredrik Dalborg: Yes. Something like that, Mattias. I mean, traditionally, we have said that to achieve our 15% profit growth target, roughly half of that should come from organic and half of it from acquisitions. And in the past, we're kind of proud that we have almost achieved that 15% through organic activity. The organic activity will continue, no doubt. But in 2026 and beyond, we should get back to that more of that mix of roughly 50-50 over time. So that means a few more acquisitions. So we have 3 in 2025, right? So it's going to have to be a few more than that.
Mattias Häggblom: That's helpful. And then with regards to the divestment and the SEK 140 million in revenues, obviously, you spoke about Q1, so obviously, no more shipments there. But then in the report, you talked about an ability to gradually replace it over time, but perhaps not already in '26. So talk about that process in terms of gradually replacing.
Fredrik Dalborg: Yes. So I think that's a great point. That's something -- first of all, I would like to say having a setup like this where we hand over a business to a supplier is fairly normal, right? This is something that happens all the time in the life of a distributor. What sets this apart a little bit is we really got handsome payout for all the work we've done to build that business. So that's a positive in many ways. And then, of course, this is something we know happens from time to time. So we work in a continuous way to add new products to the portfolio. And we like to add more products and to broaden the portfolio as well as evolving it towards even more advanced products. So this has been ongoing for a while. We don't expect and actually don't want just one quick replacement of the same size. We would rather have a few more products added to it. And of course, that's not starting now. That's been ongoing for a long time now. So the gradual addition of products has started to happen and will continue during the year. I think, will there be a big chunk of the business immediately replacing it of the same size coming in Q1? No, but it's been ongoing for quite some time. So I would say a gradual replacement of that business is already ongoing.
Mattias Häggblom: That's helpful. And final question for me. You spoke about products that were discontinued due to shaping the portfolio towards more higher-margin products. I didn't catch if Christina perhaps quantify what portion of sales that were discontinued during the year to help us understand the bridge from 2024 base to where you ended 2025.
Christina Rubenhag: We haven't really quantified that. But then if we look at the mix of everything that then it's approx 1% [ reduction ] yes.
Fredrik Dalborg: Gustav, yes.
Gustav Berneblad: It's Gustav here from Nordea. Just to come back to Medtech here and our favorite topic of AddVision. In terms of that margin, can we get some sort of ballpark indication of how that is progressing here? Is still within the range of mid-single digits? Or what's your view there?
Fredrik Dalborg: Yes, mid-single digits. It is improving over last year, not dramatically, but it is improving. It's better than last year Q4. So that's, that's nice. We have actually taken quite a few measures within that group in this quarter as well, the things that we have seen that needs to be addressed and have been addressed in the quarter. So that gives us further confidence in the direction of the British and German business. In other parts of the business, I think as you know that we have, what I would say, achieved a good level of stability and a nice trajectory. So that's great. So now with these measures, we hope that the same thing will apply for all the parts of the business. So mid-single digits still improving, but of course, lots of more upside, I would say, in that business before we are happy with it as it stands.
Gustav Berneblad: No, that's perfect. Then do you expect effect already here in 2026 from these measures you have taken here recently or...
Fredrik Dalborg: Yes.
Christina Rubenhag: Yes.
Fredrik Dalborg: Yes. We're aligned there.
Gustav Berneblad: And then in terms of Labtech, just as one final question here. Given that you saw, I mean, lower instrument sales in Q4 and of course, I mean, compared to Q4 last year was a strong quarter, we know that. But in terms of the Labtech margin, I mean, did you see a net positive mix effect on the margin coming from gene sequencing? Or how would you describe it? I mean, we saw organic growth down 3%. So just to get a better understanding there.
Fredrik Dalborg: Yes. I think it's a good point. I mean we didn't have the same level of instruments as the somewhat unusual Q4 of last year. So we're actually quite happy with the fact that we remained at 14.1%. That's a very healthy margin. So I think you're correct. There is a healthy underlying trend in that business. Some of the businesses are gradually improving, great customer relationships and strong supplier relationships and also doing an excellent job in adding new products. Others still have some work to do in -- primarily those on the research side, where we had seen a little bit less stability in demand, but I think we have a quite impressive product portfolio, and we see good evolution in those areas. We have made some changes also there in the past few months. So I think we're confident that we are on the right track there as well. So I think it's a healthy business, but there is also room for improvement.
Gustav Berneblad: Okay. So it sounds more like it's structural rather than a temporary mix -- positive mix effect in Q4 then?
Fredrik Dalborg: Yes. I would say there's a structural improvement underneath, so to speak. Okay. So now let's see. Do we have any more questions? None seem to be raising their hand. But thanks, everyone, for listening in, and thanks for great questions. And you're all free to e-mail or call afterwards if you want to follow-up on specific topics. So with that, we wrap up. But I do encourage you to stay on to see the video about Biolin. Biolin is a very exciting company, developing and manufacturing really advanced products for the research field. So please take a look at that if you have a few more minutes to spare. Thank you very much, and take care.